Rune Sandager: Hello, everyone, and welcome to GN's conference call in relation to our annual report announced this morning. Participating in today's call is Group CEO, Peter Karlstromer; Group CFO, Soren Jelert; and myself, Rune Sandager, Head of Investor Relations. The presentation is expected to last about 25 minutes, after which we'll turn to the Q&A session. The presentation is already uploaded on gn.com. And with that, I'm happy to hand over to Peter for some opening remarks.
Peter Karlstromer: Thank you, Rune, and thank you all for joining us today. '25 were a year where we continue to execute on our strategic and operational agenda in a difficult market environment influenced by uncertain trade and macroeconomic weakness. In Hearing, we continue to deliver very strong performance, and we are now at record high market shares driven by ReSound Vivia that was launched in the beginning of the year. Our premium products sell very well, and our margin is under control in spite of an adverse country and business growth mix in '25. Our product and software platforms are in strong shape, and we plan to launch further innovation in '26 that will support our growth. In Enterprise, the U.S. and APAC market continued to grow modestly throughout the year, while the European market still experiences some weakness. We are pleased with our own execution in this environment and well prepared to benefit from a continued gradual strengthening of the market. In '25, we successfully accelerated several supply chain and pricing initiatives to manage the uncertain trade environment. We have managed this well and have mitigated most of this change. We have a strong pipeline of products in video and headsets that we will launch in '26, the most important one for our financial results is the Evolve3 headset platform, which we announced a few weeks ago and will start to ship later in this quarter. Additional launches under this new platform will follow later in the year. In gaming, we continue to gain market shares in a challenging gaming equipment market. While gaming also faced some of the same margin headwinds as enterprise, we have executed sustainable margin initiatives and operational resilience initiatives supporting our long-term margin aspirations for the division. In addition, we have also launched exciting products in gaming, including our new gaming headset, the Nova Elite, which is very much a premium offering. Also here, our product pipeline is strong, and we look forward to exciting launches in '26. The markets that our 3 divisions operate in have been challenged in '25. While we aspire to deliver stronger absolute numbers in the year, we feel very good about our relative performance across our divisions and focus on the things that are within our own control. We have taken several supply chain and operational improvement initiatives that we will benefit from in the years to come. In addition, our product pipeline across our 3 divisions is stronger than it's been for a very long time. We remain firm in our belief that our markets remain attractive and look forward to further developing our business in '26 and the years to come. With this introduction, I'm happy to hand it to Soren for further details on our performance in the group.
Soren Jelert: Thank you, Peter, and thank you all for joining us today. Essentially, as Peter mentioned, we are satisfied with what we achieved during '25 under these challenging circumstances. The group delivered a negative 1% organic growth for the year, supported by a 5% organic growth from our Hearing divisions, a negative 6% organic growth from our Enterprise division, and a negative 2% organic growth from our Gaming division. Our profitability, we are pleased with where we landed for the year with an EBITA margin of 11.4% as this essentially demonstrates strong mitigation of what is within our own control. We have successfully increased prices and kept a strong focus on costs while harvesting group-wide benefits from the scale of GN. The profitability also positively influenced the free cash flow generation where we ended the year with DKK 1.1 billion in free cash flow. Moving to the financial details on Slide 6. Starting with the results of the fourth quarter of '25, the group delivered organic revenue growth of a negative 2%, reflecting solid execution across our divisions in some difficult market conditions. The EBITA margin ended at 13.4%, reflecting a group-wide cost focus offset by an extraordinary R&D write-down due to the new partnership with Huddly in our video collaboration business. Lastly, the group generated free cash flow, excluding M&A of DKK 744 million, reflecting the strong profitability and positive development from our working capital. For the full year, the group landed at an organic revenue growth of negative 1%, in line with our financial guidance. The group delivered an EBITA margin of 11.4%, which reflects prudent cost management while strengthening business fundamentals and preparing for future growth. The free cash flow, excluding M&A generated for the year was DKK 1.1 billion, driven by solid earnings and positive impact from working capital. In 2025, we have decreased our net interest-bearing debt by more than DKK 800 million, which also allow us to refinance our main loan facilities during the year with attractive terms. In summary, at a group level, we delivered solid profitability and good cash generation while continuing to improve the balance sheet. We also accelerated our efforts to ensure a flexible and diversified operational setup while making important progress on our product road maps, paving the way for growth opportunities in '26 and beyond. And with those group highlights, I'm happy to hand you over to Peter for some additional color on the 3 divisions.
Peter Karlstromer: Thank you, Soren. Let me start with our Hearing division. In Q4, we finished the year well with 7% organic revenue growth, reflecting a market that continued to grow slightly below its normal trends. Divisional profit margin for the quarter was 35.2%, reflecting a focused cost control. When looking back at '25 as a whole, we can conclude that Hearing grew faster than the market and continue to gain market share. The full year organic growth was 5% in the market growing slightly slower than normal. The gross margin ended at 61.1%, which was below 24% due to an adverse development in the country and business mix as well as the divestment of Dansk HoreCenter. Divisional profit margin ended at 33.6% due to prudent management on sales and distribution costs, offset by the gross margin development and ongoing investments to support the strong momentum of our ReSound Vivia platform. The divisional profit margin was slightly below 24%, which is explained by margin underperformance in the difficult and unusual Q1 that we and the market experienced. In the last 3 quarters of '25, we delivered a slightly better divisional profit margin compared to the same period in '24. We are confident in the underlying margin structure and plan for margin improvement in '26 and beyond. Let's move to the next slide for some highlights on the performance on Enterprise. The Enterprise division ended the year with a fourth quarter organic growth of negative 3%. This includes a larger FalCom order that continued its good progress. Our Enterprise business grew in North America and APAC, while the weakness in EMEA continued. Sell-out in the quarter was a few percentage points stronger than the sell-in, reflecting some channel inventory reductions in EMEA. Channel inventories were stable in North America and APAC. The divisional profit ended at 33.3% for the quarter, reflecting positive contribution from price increases and cost control and offset by direct tariff costs. For the year of '25, Enterprise managed to maintain its market-leading position in a challenged European market while executing positive sell-out growth in North America and APAC, resulting in organic revenue growth of negative 6%. As part of these numbers, it's worth highlighting that our sell-out growth numbers were around 3% better than this. So global channel inventories have decreased compared to last year. The gross margin increased 0.3 percentage points compared to '24 in spite of the extra tariff cost. We are pleased about how we mitigated uncertain trade environment through accelerated diversification of our supply chain and targeted price increases. The development in divisional profit margin reflects focused cost control, negative operating leverage and costs related to the upcoming launch of the Evolve3 platform. Moving to the next slide and Gaming. In our Gaming division, we delivered organic revenue growth of negative 12% in the fourth quarter, reflecting a difficult gaming equipment market influenced by low consumer sentiment as well as a very demanding comparison base as we delivered 16% organic growth in the same quarter '24. In the quarter, we demonstrated good cost control, delivering a divisional profit margin of 16.4% despite the direct tariff cost. For the year, we have increased our market share in a difficult market, resulting in organic revenue growth of negative 2%. We increased the gross margin for the division due to strong pricing discipline and benefits from the supply chain integration with Enterprise, partly offset by direct tariff cost. The divisional profit margin for the year reflects investments in product launches and extra costs related to managing the difficult trade environment. Let me move to the next item on the agenda, where we'll provide some more flavor on the divisional growth ambitions for '26 and beyond. Starting with Hearing. In '25 the market grew slightly less than normal. We still very much believe in the underlying growth drivers of the market with increased adoption and a growing elderly middle class around the world. This will continue to support healthy market growth over time. We are pleased that we have managed to outgrow these attractive markets for the last years, driven by strong commercial execution and product innovation. With the help of our latest platform, ReSound Vivia, we have further strengthened our position and our momentum remains strong around the world. As announced earlier this week, we will now also expand the Savi portfolio, which will support growth, especially in countries and channels looking for more affordable product solution. On top of these exciting portfolio additions, we have even more innovative product launches planned for the second half of '26. Altogether, this gives us high confidence that we can continue to grow above the market and strengthen our competitive position in the coming years and further. Let's turn to the development of the Enterprise business. I think it's worthwhile taking a step back and looking on our headset business has been shaped over the last decade. We have been one of the frontrunners establishing the market and driving the professional headset penetration. And the enabler for this has been technology shifts, where we have been successful in developing products that caters for customers' needs over time. Back in 2014, we launched our award-winning Evolve portfolio that supported the rapid adoption of different UC platforms driven by large technology infrastructure companies. What was unique and industry-leading at that time was the easy integration of our headset portfolio in the different user platforms, where we also launched ANC and a strong microphone pickup. The result was clear, professional headset quickly became popular and a standard for the knowledge workers wanting a high-quality experience. Moving into 2020 and the hybrid work age, as we would call it, this was accelerated by COVID-19. This period in time required new technology for headset performance and integration. In early 2020, we launched the Evolve2 portfolio that significantly increased headset performance across multiple dimensions. As a result, global headset penetration increased further to around 20% where it is today. And now with a fast-developing AI solution, we're entering what we believe is the next era. We call this the modern work shift. And with the increased adoption of AI solution, we believe that the next headset penetration will be driven by new technology demands. For it to succeed, you need to have a headset that fits the evolving trends of tomorrow. Let me give you a few examples. Ninety-nine percent of knowledge workers acknowledge that poor sound is impacting online meetings. Seventy-eight percent of knowledge workers from multiple locations, which means that the design of headsets is important and that headset needs to handle ever-changing noise situation in different environments. Currently, we're also seeing a return to office trend among many companies as well as a trend that the majority of new offices being built are having more open landscapes and less square meter per worker. This means that all of us need great solutions for working in these open spaces that are comfortable and where we can have online meetings where all background noise is filtering out. And that would help you to come across very clearly even in these challenging environments. AI workflows will also be a driving force. Voice is 3x faster than typing, making AI voice interaction much more efficient than if we type. Simply, we will likely speak more to our computers and devices and type less. This puts new requirements on the headsets in terms of how they can handle this with great accuracy. It would also like to increase the sound level in open spaces further and further increasing the need for great headsets that can handle that. Lastly, cybersecurity is important today and will likely increase even more into the future and grow in importance while an enterprise-grade framework for security is becoming an essential to be in this market. We have talked to numerous customers, partners, and analysts over the years to form a strong view on what's needed. And we believe that we have announced the -- what we have announced last week is really the headset that can take us into the new modern work area. Our latest enterprise-grade headset launch, the Evolve3 is designed to take the user experience to a new level while playing up against future technology trends. And it's not just another hardware update that is slightly better all around. The Evolve3 is also based to close to 10 years of research and development in its underlying technology. First and foremost, the AI-driven deep learning technology had been trained on more than 60 million real-world synthesis, taking microphone technology to a completely new level with outstanding ability to separate speech from noise, and this is quite impressive considering that it's also been possible even without the traditional boom arm. These headsets captures 99% of words accurately in an open office environment, making it built for voice-led AI and screen productivity in any environment. In addition, it is the first of its kind to feature adaptive noise cancellation while we're on a call and it comes with improved connectivity and a significant step-up in battery life with the possibility of a full day use from only 10 minutes of charging. In addition to impressive technical development, Evolve3 is also designed to be compelling. It is released in black and warm gray with a modern design. It's also designed for comfort. It is light and comfortable to wear all day. From March, the Evolve3 will be globally available in our high-end form factors, the 85, which has an over-the-ear fit and is designed for immersed focus and the 75, which has an over-the-ear fit if you prefer a lighter wear and greater environmental awareness. We call this the best headset for modern work and it's really built to match the pace and flexibility of what we all require. So let me move to the next page. As the working habits change, we need technology that adapts well. Whether you are in an airport, working at home, in the office or somewhere else, Evolve3 is a perfect companion. Even in very noisy environments, voice clarity is state-of-the-art due to our DNN-based voice processing, taking the benefits from the wider GN Group. As an example, you can literally stand in the room with loud music playing in the background and a person that you're speaking to will only be able to hear you and what you are saying and not the music at all. The same applies when you're taking a call outside a windy day, in a noisy coffee shop, or basically anywhere in any situation you can imagine. It's only you that is being heard. And perhaps most important, the strong sound process to make the headset the perfect companion for working also in the normal open landscape where you likely will be shielded from the noise around you. And when you make a call, you need to be heard without any background noise and the shatter to enter your meeting. The sound performance is so strong that you do not even need to mute when you're not talking any longer. The participants in the meeting will essentially only hear your voice and nothing more. We cannot be more excited about this launch and have more confidence in that this is really taking the headset to the next level and help us with the growth for the Enterprise division in '26 and beyond. It is developed to be the next penetration wave, while it also will assist the ongoing replacement of existing legacy products. And stay tuned because more will also come. We will, as normal, launch across mid and entry-level price points later and a more affordable price point will come over time in the next 15 months. Let's move to the next slide, where we'll also talk more about our aspirations for the gaming business. SteelSeries have been on a journey with increasing market shares for quite some time now. Since 2019, we have increased our market shares significantly in our core categories of headset and keyboards due to our best-in-class innovation. In [ mikes ], we have been defending our position during the last 5 years. This will be one of the focus areas for the coming periods as we obviously want to improve our position in this market as well. The core gaming equipment market remains structurally attractive, supported by continued growth in the number of gamers, time spent on gaming, and a growing appetite for premium features. These dynamics underpin a healthy long-term growth profile for the market, even though the near-term environment is held back by a muted consumer sentiment, in particular in the U.S. Against that backdrop, SteelSeries continues to win, and we expect our current momentum to continue in '26 and beyond, and we continue to deliver new product innovation in the market that will support this growth. SteelSeries is not just another gaming equipment option. In SteelSeries, we continue to challenge status quo and expand our categories into new and better options. For '26 and beyond, we expect to harvest broad-based market share gains by strong brand momentum and significant launches across categories and into new form factors on top of the growing core portfolio. While it is, of course, important that Gaming returns to deliver strong growth, the division has also been a journey to increase margins to becoming part of GN. We have come a long way by fully integrating Gaming into the same systems and product flows as Enterprise business and there are even more margin benefits to come over time by fully utilizing the GN at scale. In addition, we will continue our strong pricing discipline to mitigate impact from direct tariff cost and other unforeseen future external headwinds that could be a threat to our margins. Moving to next slide. Let me go through the assumptions for '26. In '26, we are planning for growth across our 3 divisions. We are convinced about our strong product portfolio that will help us to further gain market share in a flat to slightly growing markets. For the hearing aid market, we expect the market growth for '26 to be at the low end of the structural value growth of 3% to 5% due to the current low level of consumer sentiment around the world. In this market, we assume that we can continue to gain market share driven by our current momentum and further product innovation. And this is why assuming an organic revenue growth for the years between 3% and 7%. For the Enterprise market, we believe that the growth patterns that we have observed outside EMEA in '25 will continue. We also believe in some level of stabilization of the macroeconomic environment in the EMEA region to materialize during the year. All in all, we believe the global enterprise market will likely grow between flat and 2% in '26. In this market, we assume we can gain market shares driven by the launch of our Evolve3 headset platform and a gradual strengthening of our video portfolio. As a result, we're assuming an organic revenue growth for Enterprise between 0% and 6%. For Gaming, we expect the market growth for '26 to be modest, influenced by the current low consumer sentiment in the near term. In this market, we're assuming continued market share gains, driven by current momentum and the strong product innovation. And we believe that for Gaming, we can grow between 7% and 13% in the year. And with that, I'm happy to hand it back to Soren to speak more about our guidance for '26.
Soren Jelert: Thank you, Peter. All in all, when we apply these divisional assumptions, it leads to our guidance for the group where we guide for an organic revenue growth of 3% to 7%, driven by continued strong execution and market share gains across our 3 divisions, as mentioned by Peter. Moreover, we are guiding for a reported EBITA margin of between 11.5% to 13.5%, driven by continued cost focus and operational leverage, offset by some short-term headwinds. All in all, the financial guidance supports our ambition to grow in a sustainable and profitable way that eventually will lead to realization of our long-term targets. On the next slide, I'll provide you with some more details on the elements that drives our '26 EBITA margin guidance. First and foremost, we are pleased with our ability to mitigate the impact on tariff in '25 by effective price increases and a successful acceleration of our diversification of our supply chain. Specifically, in '26, we will experience a margin tailwind from the temporary cost taken in '25 to relocate our production lines. That tailwind is then more or less offset by the full year effect of tariffs as these were only really impacting our COGS from the third quarter of '25. Then we will have a net negative effect from a step-up in absolute amortizations following the product finalizations of a number of projects, including the recent Evolve3 portfolio. This is, by definition, a noncash effect, but is following our accounting principles. Taking these factors into account, we do believe that we can drive a very healthy underlying growth in '26, which will materialize across gross margins and operating leverage. Depending on the growth development in the year, we will be able to expand our underlying EBITA margin by 1 to 3 percentage points. This once again underpins our strong group-wide margin platform potential. We remain firm on our long-term structural margin target of 16% to 17%. With the underlying margin target we are guiding for this year, we are convinced that we can continue to drive yearly margin expansions beyond '26 as a result of healthy top line growth and prudent OpEx management. On top of this, we will naturally look for gross margin opportunities as well. So to conclude, following a difficult '25 due to a wide range of external headwinds, we are excited about the prospects of the coming year. With growth coming back to our 3 divisions, we will be able to deliver a strong profitable growth while continuing our focus on strong cash flow generation and thereby continuing deleveraging. And with that, happy to hand you back to Rune.
Rune Sandager: Thank you, Peter and Soren, for the updates. This was the end of the presentation. I will hand you over to the operator for the Q&A. Please limit your questions to 2 at a time, please.
Operator: [Operator instructions] The first question comes from the line of Andjela Bozinovic with BNP.
Andjela Bozinovic: Maybe one on Enterprise and one on Hearing. So on Enterprise, having in mind the Q4 performance, can you give us more details on underlying assumptions supporting the guidance and phasing of the growth throughout 2026? And just more broadly, what is your take on the expected decline in the PC volumes following the memory price hikes? How do you see this affecting IT budgets and the end markets in particular? And on Hearing, can you maybe discuss the moving parts going into 2026 and the phasing of growth? And any indication of what is baked in your guidance in terms of market share gains, competitor launches and market growth assumptions for both at the top end and bottom end?
Peter Karlstromer: Great questions and quite a lot of unpack there. Let me start with Enterprise. We recognize that '25 was, of course, not the year where we delivered the growth, which we aspired for. But with that, there were still some positive things happening in the year. We saw the U.S. market and the APAC market actually growing throughout the whole year. So the difficulties were in EMEA, and we did see some underlying improvements throughout the year. Q4 ended a bit weaker than what we anticipated. Still, if we look back over the years, it has improved. And then, of course, also with our launches here, I talked a lot in the opening about Evolve3. We also have video products, which we are launching this year. We do believe that will support and growth also on top of the market improvement. In terms of the sequencing, I think it's fair to expect that it will be a gradual return to growth. So we will build up the growth over the year. So in some ways, the second half will be stronger than the first half. We also expect more product launches throughout the years and the launches we have made now, while the products, I think, are truly fantastic, it is a premium product that's still a smaller part of the total Enterprise volume. So all in all, I think we will build up the growth in Enterprise throughout the year. Then you asked about the relationship to PC shipments. I think we need to admit that we have seen a correlation before over time. We saw a little bit less of that last year, and it's probably also linked to quite an accelerated forced upgrades of a lot of PCs. So with a significant amount of budget for many companies spent on this. So it's probably crowded out spending in other categories. So while perhaps PCs decline a bit, we do not necessarily see this as something negative for us. And so we believe in the underlying growth here and the gradual improvement of our market. Then if I move to Hearing, I think it's fair to say that there is, of course, a lot of many moving pieces when we're building up our growth aspiration here for the year. I mean as we talked to, we believe that the market underlyingly is growing slightly below its normal trends. And we're talking about the lower end of the 3% to 5% value growth, which we consider to be normal. And you asked about what we have factored in. We have tried to factor in everything that we know, of course. We do assume some competitive launches. We do assume, of course, some larger customers making different type of decisions with opening up for more entrants. So we have tried to factor in everything we can. But we're, of course, also factoring in our own new innovation and our own launches. And we are entering the year with a good momentum. We had a 7% growth in Q4. We're entering with that momentum into this year and feel good about the momentum of Vivia. And with more innovation throughout the year, we think we can support a healthy growth over the year. So in Hearing, in terms of sequencing, I think you should probably expect a fairly even momentum throughout the year. Every quarter, we see a good opportunity to grow in essentially.
Operator: Next question comes from the line of Martin Brenoe with Nordea.
Martin Brenoe: I have a quite long question here. So I think I'll just limit myself to this one question, and then I'll jump back in the queue. In your Q3 report, you wrote that GN has minority investments in noncore assets that may contain significant value and could be divested. I've done some channel checks, which are indicating that NationsBenefits is a $1 billion valuation company, which is looking for external funding here in 2026. And this should translate into a potential divestment opportunities with potentially billions in DKK, based on my analysis at least. I know it's a bit out of your hands, whether this happens or not. But could you maybe just confirm whether you expect a funding round in 2026 and whether you expect to monetize that opportunity when it arises. And then just as part of that, I guess it would also explain why you're not having a cash flow guidance for this year, which indicating that you are a bit more comfortable with your leverage ratio. And if possible, I know I'm asking for a lot here, but could you maybe just provide some details on what you think such an opportunity would affect your deleveraging path from here and how you -- if you monetize it? Otherwise, potentially just give some basic information about the revenue and the growth of these minority investments?
Peter Karlstromer: So Martin, thanks a lot, and thanks for laying this out and your work around this. We started to talk about Nations because we realized it started to build up to a valuable asset that we wanted to be very open about. And -- but we've also been clear on that there are some unknowns also for us. This is a company that is privately held. It is, of course, we have an ownership share of about 19%. We have a founder in that, that's been there since the beginning and another large investor also. So we're one of the larger investors. I think we are very happy, of course, with the underlying performance of the company. We do not want to comment on the details here since it's not a public company. I think that all of you can approach Nations for request directly from them. But I can just confirm that our view is that the underlying performance of Nations is strong and is strengthening over time, and it's been a very successful business buildup. So that's probably all we can say. And then in terms of how we think about our ownership, this is not strategic to us in terms of that is interlinked a lot with our existing business. At the beginning, Nations were very hearing aid focused, but they've grown to be much more than that today. And as such, there is not a very strong link to our existing business. So at the right point in time to the right valuation, we would be open to consider if we're the right owner. But it's not anything we are unilaterally seeking. We probably will do that in great harmony with other key owners and the founder, which we respect a lot. And we will update you over time as opportunities will present themselves. There is nothing very imminent around this, but could very well be over time. I hand it back to Soren for more commenting on the cash flow guidance and how to think about it.
Soren Jelert: Yes. I think in many ways, you're absolutely correct that we do not guide for cash flow this year. And just to echo what Peter said, in the event something would happen, it would be M&A. And as such, we would always guide excluding M&A. So in that sense alone, it is not interlinked. But that's fundamentally not why we are not guiding for free cash flow this year. It's more the fact that we now, the last 3 years have generated more than plus DKK 1 billion in free cash flow. We have demonstrated that when we have the margins that we've had that we can generate the cash flow. In addition to that, we have also now made a new loan agreement that in many ways, is also a testimony to that our endeavor to go towards 2.0 leverage by '28 is definitely on the right track. And it was our opinion that where we need to focus now is to generate growth and the earnings. And when we do that, it will yield cash flow. And rest assured, we'll stay focused on getting to the deleveraging of 2.0 as fast as we can.
Operator: Next question comes from the line of Hassan Al-Wakeel with Barclays.
Hassan Al-Wakeel: Firstly, can you talk us through the drivers of hearing aid market outperformance and any regional performance that you can highlight? Your market outlook is for another softer year in 2026. It'd be great if you can walk us through how you see Europe within this and whether you're seeing any signs of improvement? And then secondly, on margins, given this should be a strong year of launches across your businesses. Can you talk us through some of the building blocks for expansion in the margin over the course of 2026? And I appreciate this is a wide range for the year, but the gap to the midterm ambition remains pretty large. So any updated thoughts on the bridge to 2028 would be very helpful?
Peter Karlstromer: And let me start in the order you're asking this essentially. So if you take Hearing, if we look on '25, as you have heard us talk about before, in the first 3 quarters, this was very much Europe and international markets providing the growth for our business. We have been doing very well there. I think what's positive is that in Q4, we saw a bit of a stronger performance and growth contribution also from the U.S. side of our business. And if we look into the next year, I would say market-wise, we do expect the U.S. to be a little bit stronger than it was in '25. As we remember, Q1, in particular, was a very difficult quarter in the U.S. But generally, still the global market outlook, as we're saying, we do believe it's adding up to slightly below the structural growth of the market. That's our planning assumptions. Then in terms of our own plan for how to outgrow that market, I would say it's broad-based. We like to see outperformance versus the market growth in each of the region and also very focused to drive success in each of the channel types, everything from larger key accounts to more smaller independents. So this has been the approach we have taken in the last few years. It's very important for us to have that kind of balanced exposure and balanced ambition for our growth across. And the same is how we think about '26. And then you asked about Europe specifically. I think it's clear that Europe has been, I think, lately a little bit better. I would say that the markets where we have been doing very well has been, in particular, in Germany, that has been a growth driver for us, and we continue to have a very good momentum there. I think it's probably what I would highlight. But generally, I mean, the European markets for us has provided quite healthy support for our growth. I think it's also fair to say that in some European markets, we have a bit of a lower market share, also presenting an opportunity for us to catch up a little bit to what we think are natural market shares for us.
Soren Jelert: And then when it comes to the margins, I think a couple of questions here, one linked to this year's margin. And for us, I think it's important to also recognize that we all the time have said that Gaming is an area where we will, through the good synergies with Enterprise, improve, amongst others, our gross margin. And as such, we also do believe that the group as a whole will be able to improve its gross margin in '26. Then in addition to that, actually, we also do see an opportunity on leverage of the OpEx base essentially. But to your point, we have factored in that we are launching. And then bear also in mind that within Hearing, we did launch Vivia in '25. So those costs were actually sitting in '25 as well. So in many ways, we are at a level of the cost base, which we believe is adequate to actually support the growth that we are striving for within the 3 divisions. Then when you look at the long-term margin aspiration of 16% to 17%, I think fundamentally, it's also important the decomposition we did of the aspirations for '26, where we have some cost items, amortizations as one, we do believe when you come out to the outer years we will be able to leverage the top line growth and as such be able to generate these margin increments as you see. So fundamentally, the underlying performance of our business should be able to get us to the 16% to 17%, which we believe is right for GN as a group.
Operator: Next question comes from the line of Carsten Lonborg Madsen, Danske Bank.
Carsten Madsen: Yes, a quick follow-up on Nations and the value here. Could maybe -- I know you cannot really talk about the value of it, but what will happen tax-wise if you realize a gain on this? Should we extract some tax from that, at least then we know that? And then I have a question on Huddly. You talked a lot about Huddly and you also mentioned video as a growth driver for you in 2026, something we have on the outside been waiting for a very long time. How meaningful is this collaboration? And do you expect -- and have you factored in sort of the meaningful growth of the video segment into your Enterprise outlook for this year. That's it?
Peter Karlstromer: Let me start with the video and then hand it back to Soren for Nations and tax. I think that the Huddly partnership is meaningful in the way that it's addressing a gap which we've been having for a while, which is to work with companies in large video rooms. And Huddly is a company -- it's a smaller company, but with great technology for how you can add cameras into video rooms. So we essentially have integrated this into our existing video platforms together with their R&D. So it helps us a lot to now be able to address the full needs of companies, and it's been very well received when we're talking to customers and have presented this. We are launching this now in Barcelona this week at the big conference here, ISC. And we also have own other video launches, some which we have made and some that's coming. I think it's meaningful for the video business, what we're launching. It should definitely support the growth of the video business. If you look on the total growth support for both Enterprise and for the group, we need to remember that video is still a relatively small part in absolute numbers, so to say. But it certainly are important steps to see some acceleration of growth on the video side. But if you look into the growth ambition of our -- of Enterprise of 0% to 6%, we are counting on some contribution from video, but the majority will come from the core of the business, which still is headset.
Soren Jelert: And then, Carsten, when it comes to your further deep dive on Nations question, I mean, I'll refer back to the question or the answer that Peter gave before. And as such, neither are we speculating in a potential tax implication of this and as such, are planning on group level still with around this 22% as we have also reported out on this year.
Carsten Madsen: I was more thinking about whether we should -- when we calculate the value, whether we should just assume that the value is the value or whether we should subtract 20% tax?
Soren Jelert: Again, I wouldn't speculate in the value is the value. I mean, honestly, we do not have a comment on the value as such and when it will materialize on Nations. So that's the way we look at it.
Operator: Next question comes from the line of Veronika Dubajova with Citi.
Veronika Dubajova: I will keep it on to 2, please. One, I just was hoping you could quantify the contribution from FalCom to the fourth quarter revenues and then what your expectations are for 2026 and whether those have changed in any way? And kind of maybe just gate some sort of risks to the upside and the downside around that just so that we can think about that since it was a driver. And then I apologize, but I have to go back to sort of the expectations around the Enterprise business growth. I guess there is a lot of concern and uncertainty in the sort of broader IT spending market. I guess it'd be helpful to understand the conversations that you're having with your distributors with some of the larger customers. What are you picking up in terms of corporate willingness to spend, especially as they face a lot of other competing priorities for investments, whether that's PC units or it's things like AI. I'd be kind of good to understand what you're hearing there. Just to give us a bit more confidence in your kind of -- what seems to be a very clear message that Enterprise should grow this year after many years of decline.
Peter Karlstromer: Starting with FalCom, as you remember, we had a very good quarter in Q2 where we talked about more than DKK 100 million of business. In Q4, we had a similar quarter. So also a very good quarter. And we did preannounce that already earlier in the year because we had more or less agreements for that order in a firm way already then. But it was delivered and revenue in Q4. So if you look on the year in total, we made a bit more than DKK 200 million on FalCom for the full year of '25. And if we look into '26 that at the minimum, we see that we should be able to do the same level of revenue, but our base case scenario is probably to grow that a bit further. So I would say it could have some small growth contribution to the overall group growth. But I think we also need to remember FalCom still is relatively small in absolute terms. So it's not a real needle mover. But we continue to see a very positive development of FalCom, and we are pleased about that and very focused on continuing to growing it, of course. And then if I move to Enterprise, I appreciate a lot your questions around this and also how to think about this? I do think that we can approach this both top down, what we hear from leading analysts in terms of IT budgets and how much they spend on software versus hardware and so on. And if you do that, I think you're coming to a conclusion that IT hardware is probably modestly growing in most of the forecast, but relatively low growth numbers. And then if we observe it more from our own trends and the markets where we operate, which is predominantly headsets and video, as I talked about before, the market has been growing in the U.S. and APAC, which is great to see actually a stability of that growth. It's been going on every quarter for more than a year. And then EMEA has been the traveling area for us and the whole industry. And it's still not in growth in EMEA. So I would say that, that's perhaps a major uncertainty here and what the market growth will end up with. But our best assumption, if we take the growing North America and APAC and an improving Europe is market growth then for around 0% to 2%. And that is also consistent with what we are picking up with our largest distributors and resellers and when we speak to large customers and I mean trying to both plan our own business, but also talk about how they see and observe the future. So that's a market. And then we are guiding slightly above that because we feel very good about the products we are launching. I hope you all have a chance to test them at some point in time soon because we really think that this is not just like another product, so to say, another headset, but it really is taking the performance to next levels. And the initial reception has been very positive. It will take some time to build up the volume on this new line of products in Evolve3. We will see some limited contribution already in Q1, but more throughout the year essentially. So that's the combined thinking in resulting into the guidance of 0% to 6% growth for Enterprise.
Veronika Dubajova: Got it. And can I just maybe ask a very quick kind of financial modeling question. Would you expect Enterprise to grow already in the first quarter? And I guess maybe, I don't know, Soren, if you want to comment on the phasing of growth for you specifically given some of the destocking dynamics you saw in the fourth quarter?
Soren Jelert: No, we don't know and we're not guiding per quarter per se, but we do believe you will see gradual strengthening of it. And at this point in time we have some level of negative growth momentum, and we need to turn that into a flat to growing momentum. If that is happening in Q1 specifically or a little bit later in the year, we are not really guiding [indiscernible] it will be gradual. I do think though, and I could have talked about that also in the overall dynamics, it's worthwhile to highlight that we did see some channel destocking for the full year of '25. So that affected our growth in Enterprise with a few percentage points. And what we have assumed for next year are fairly stable channel inventories, and that is also what is a little bit helping to create the range of the guidance, what is happening to the channel inventories.
Operator: Next question comes from the line of Jack Reynolds-Clark, RBC Capital Markets.
Jack Reynolds-Clark: I had a couple also on Enterprise, please, and then across the U.S. and Europe. So within the U.S., can you kind of quantify the positive growth coming out of the quarter? And has that sell-out growth translated into a recovery in sell-in so far in Q1? And how much -- and if not, kind of how much destocking is there left in the U.S.? Then within Europe, again, in Enterprise, you mentioned some sell-out growth recovering there. Could you point to which markets are seeing sell-out growth and kind of quantify that recovery? And again, are you seeing any kind of translation into sell-in growth recovery and/or kind of how much destocking or how much inventory are your distributors holding there?
Peter Karlstromer: So on the U.S. market, in the quarter, we did see sell-out growth, and we also had the sell-in growth, and they were actually fairly aligned those 2 numbers. So the channel inventories in the quarter in the U.S. were stable. We saw some more significant channel reductions in the beginning of the year '25 in the U.S. But towards the end of the year, they have actually stabilized. So the delta of sell-out and sell-in in the last quarter were predominantly in EMEA, and there, we saw it with several percentage point differences. And then to the markets have been going best. I mean, the last few quarters, a highlight of EMEA has been Germany, which is very encouraging for us because it is the largest market in EMEA. It is also a market where we have a very strong position. So that market has been both in sell-out and sell-in growth in the last few periods. U.K. has also improved a lot lately. And then I would say the Nordics and a few others of the more Central European countries have been -- I mean, also improving. And then we've been having a bit of a further challenges in Southern Europe. But I think that overall, if you look in EMEA, it is ending stronger than it started '25, so to say, and that's why we're talking about some level of improvement in trends. But the channel destocking have impacted also the numbers in EMEA.
Operator: Next question comes from the line of Martin Parkhoi with SEB.
Martin Parkhoi: First, a question again to Soren on the margin. I'm still a little bit curious to understand the bridge towards '28, in the short-term, which is '26, you have a range of 2 percentage points on the margin. And you believe 3 years later, you have a better transparency, only have 1% range in your margins? So how can that be? How can you -- if you land in the low end like 11.5%, how can you reach up in the 16%? What tools do we have to make such cost control? Then second question on the hearing aid market. We saw your gross margin going down this year, as you also rightfully say that you use some channel and country mix. And how should we see that mix in '26? Also if we get a soft hearing aid market, slightly soft hearing market again in '26 as we saw in '25, then there's a tendency to manufacturers starting to compete a little bit more on prices to reach their budget. So what kind of pricing environment have you baked in and margin have you baked in on hearing?
Soren Jelert: Soren speaking, and that's on the longer-term aspiration. I think it's the way we have also decomposed the '26 guidance. We are of the opinion that in the event that we come in lower, it will, in our minds, also be a question of timing as we will strive for the growth as the key vehicle for us to get to the long-term 16% to 17%. Fundamentally, some of the investments we are taking in 2026 in, for instance, operations will yield gross margin improvements when we come out in the outer years closer to the '28. So in reality, we believe we will be able to catch up in the event that we land in the lower end. And we believe that if it's timing, it will definitely be possible. So we are investing in an underlying improvement structure that will yield results towards the '28 target.
Peter Karlstromer: Martin, for more the hearing aid margins in '26, as we commented and you also highlighted in '25, the gross margins reduced due to the growth mix essentially we had in areas where we have low gross margins, channel types and geographies basically. As we're looking into the '26, we do expect a little bit of reversion of that into the more higher margin areas growing more normally and as such, supporting the gross margins. What I'd also like to highlight here and had that in the opening readout the divisional margins because they were actually -- if we look on -- after the difficult Q1, which was challenging in many ways, we were actually stable vis-a-vis the year before. And the explanation of that is that some channels where we have low gross margins also have a very, what should we say, compelling cost to serve. And as such, you might get a lower gross margin, but you still can protect a very good divisional margins. And we remain very focused on both type of margins. They're helping us to manage the business in a good way. But the planning assumption is some type of improvement on the gross margins for the year.
Operator: Next question comes from the line of Richard Felton with Goldman Sachs.
Richard Felton: Two, please. The first one is on Gaming. I'd like to understand the confidence in the 2026 guide. I suppose that that business was down slightly in 2025, momentum sort of decelerated into the end of the year. So just trying to understand sort of the gap from 2025 to the 7% to 13% guide for '26 between how much of that is the market getting better? How much is market share gains and product launches? That's the first one, please. And then the second one, thanks very much for sharing the detail on the Evolve3 launch. My question is, how impactful the launch has been historically on the Enterprise business? I know for hearing aids you get quite excited about new platform launches. But thinking about the business model and the type of customer base in Enterprise, how important is that launch cycle to drive growth?
Peter Karlstromer: If we take the Gaming first, I think it's a combination of an improving market and then market share gains. If we look on the '25, the market was, I mean, relatively weak, around the world and in particular in the U.S. and Europe, where we have the majority of our business. So we do expect a bit of a stronger market environment. And then also have several great launches in the pipeline for the year across key core categories where we have meaningful business. Then I appreciate also when you're looking at, we all get a bit scared, of course, about Q4, which looks like a loss of momentum. I think it's important to bear in mind the outstandingly strong quarter Q4 the year before. So the comp was also part of seeing that decline in growth. So if you look more on sequential growth, quarter-on-quarter growth, it looks a little bit less daunting, so to say, to go from where we ended the year to growing into '26. So it is what we believe in as the base assumptions. And then the Evolve3 launch for Enterprise, we think it's a very meaningful launch and that this really will support our business. And given that we are the market leader in headsets also, hopefully, it can help the whole market to grow. So maybe get a double help here in some way. We have had this headset in early trial programs with both channels and lead customers for a while, and the feedback is overwhelmingly very positive. At the same time, we need to recognize it several years since we launched a line like this. So it's hard for us to analytically come back and say exactly what it would mean. But definitely, we are of the firm belief it will be a strong contributor to finding our way back in growth for Enterprise essentially.
Operator: Next question comes from the line of Niels Granholm-Leth with DNB Carnegie.
Niels Granholm-Leth: You are calling out a headwind in your margin for this year because of less positive effect from R&D capitalization. I mean, the effect for '25 was actually a little bit more than 2 percentage points. So would you expect to neutralize the effect completely this year? Or is it just going to be a less positive effect in '26? So that's my first question. And then getting back to the phasing in the Enterprise division. So how should we think about the growth trend throughout the year? I mean, are you continuing to expect kind of flattish to negative growth in quarter 1 to improve in the second half? How should we think about that?
Peter Karlstromer: The way we have planned it out and can see it, of course, operating in the asset bases we have under R&D, we believe that the headwind or the less headwind is -- of the headwind in this case is to the tune of 1%. So it's not a full erosion of the 2% that you rightfully quote, but think of it at least as 1%. That's for the planning purposes.
Soren Jelert: And then when it comes to Enterprise facing, I think the best way to do it is to expect a gradual buildup of the growth. So second half stronger than the first half. And I think it's both about generally getting the growth momentum going and also linked to the Evolve3 launch. We will see some impact in Q1, but we will see more impact of the Evolve3 launch later in the year. We will also launch more headsets later in the year, also further contributing to that growth. Then, of course, if we look on the Enterprise overall number, I think it's helpful, of course, to keeping a track on the large 2 FalCom orders in the comparison base from last year. And if we look on FalCom for '26, I said we aspire to have at least the same level of revenue, but also FalCom will likely be bigger in the second half than in the first half for '26. So that's probably as much as we can help you here, but do expect a gradual buildup of the growth momentum. I think that's the conclusion here.
Niels Granholm-Leth: But shouldn't we expect any channel filling from the Evolve3 launch already here in quarter 1.
Soren Jelert: Some level, definitely. But again, as I said, the Evolve3 85 and 75, these are the premium products, which is meaningful, but a smaller part of the total Enterprise sales. The mid-tier is where we have most of our Evolve3 sales and these type of products will launch at a later point in time. So that's what I meant with the sell-in will contribute in Q1 to some extent, but I think you will have even stronger Evolve3 contributions later in the year.
Operator: Next question comes from the line of Julien Ouaddour with Bank of America.
Julien Ouaddour: And sorry, guys, I come last, it won't be too different from my peers. I want to focus on the Enterprise guide again. I just think you need to give us a little bit more confidence for that. Just if I summarize, you're talking about gradual market improvement, 1Q and likely to grow back-end loaded year for Enterprise and Gaming. I think 4Q was softer than expected and not yet significant improvement in EMEA with declining PC shipments for next year. That's basically what I take from the call. I'm just wondering why putting such guide with ambitious market and share gain expectations instead of trying maybe to rebate expectations for beat and raise if the market recovers and the share gains materialize later. So that's just a question about just your thoughts behind how the guide was set and the visibility you -- I mean, you have today given, let's say, it was a little bit challenged to call the market in recent years? That's the first question. The second one, so switching to Hearing, you're the largest OTC player out there probably. Could you maybe address on what you're seeing on this channel in the U.S. and globally? And I'm asking the question because we're seeing some slowdown in the hearing aids market. AI seems to have unlocked possibility for smaller OTC players to get out with pretty good products from a performance standpoint. So my question is just, do you see some traction from small competitors? And could it be one of the reasons the U.S. market was soft for prescription hearing aids recently?
Peter Karlstromer: Now back to Enterprise, and I run the risk of repeating some of the things I said before, but we have really tried to take all facts into accounts. I mean, both what we are picking up top down from all the sources we have available to us and then discussions with partners, distributors, and customers. And finally, what we observe ourselves in the underlying momentum of the business. And as I highlighted before, we do see the U.S. and APAC market in growth. It's been a lot about EMEA. And I mean, what we do believe and have into the guidance is some gradual improvement in EMEA. It doesn't say that the market will enter a high growth. We are saying a global growth of flat to 0%. It can even cater for some level of decline in EMEA for the year for the flat scenario there. And then we very much believe in the launches we are doing across the portfolio. And we do believe that the guidance we are giving with the midpoint as the most likely is our best effort here to give a meaningful guidance. We could, of course, have given an even broader range, but we do think the best way we can help you and the market is to guide like this in what we believe will be the most likely outcome. Then if I move to the OTC side. We -- I can speak about our own business first. I mean we have shared with you that we saw a little bit of a disappointing growth momentum in the first 3 quarters of '25. We actually had a fairly good quarter in Q4, so reentered double-digit growth in our Jabra Enhance our OTC offering. But I think I will say that still, if we look on the whole for both the market and our business, I think we've seen actually relatively similar dynamics to what we've seen in the overall hearing aid market. In the beginning of the year, and particularly in Q1, also the OTC business was really negatively impacted then the Q2 and Q3, I mean, our business, but I would also believe that's true for the overall business didn't really perform in the normal ways. And now we're seeing a little bit of stronger momentum in OTC. But to be fair, we actually see that in the U.S. business overall for ourselves. I personally do not believe it is, what should we say, cannibalizing significantly the traditional market. I think it continues to be a complement. It's interesting for us when we analyze our customer data. And so we do see that the customers buying from OTC are a bit different from the traditional hearing aids. In particular, it seems to be people that are younger. On average, it's about 10-year younger profile. And so there probably are some differences in the user base also. I appreciate there might be some limited overlap, but this is our best read on the market. So we don't think it will be the key explanation of the performance of the traditional hearing aid market, so to say.
Julien Ouaddour: Perfect. I mean if I may just squeeze a very last one. Do you have any view on the Section 232, maybe any potential impact like on the protocol for the hearing aids? I mean, could it change your -- the original tariff for '26?
Peter Karlstromer: No, we don't have any privileged insights in this. We're, of course, observing this also. So I have no further insights or comments.
Operator: Next question comes from the line of Martinien Rula with Jefferies.
Martinien Rula: I think you can hear me okay. Most of my questions have already been addressed. So I'll probably keep it to 2 quick ones and just to be as well conscious of time. So the first one is on your formerly called Lively business, which, if I remember correctly, was supposed to be breakeven by late '25, early '26. Could you elaborate a bit on how much of a drag it was for 2025? And if you have considered any potential scenarios for divestment or something like that into 2026 and beyond for this business? And the second question would be on the Gaming. I appreciate that you've been gaining consistently some share in the headset and keyboard categories. But I was a bit surprised to see that your share in the mike category, sorry, have remained stable. As such, I would appreciate if you could remind us of the revenue contribution of each of these categories and elaborate on why you haven't been able to grow your share in mike.
Peter Karlstromer: Now, starting on the Lively business, which is what we call Jabra Enhance today. And as I mentioned, this year, we have not been able to have the same growth profile as in the previous years. The positive, I mean, fact is that Q4, we are back to the double digit growth, which we like to see. But given that the slow growth profile this year, our breakeven has been a bit delayed. We talked about that it will happen late '25, early '26. I will say with the growth momentum we have now, it's probably a bit later in '26 or early '27. But what is positive is that, I mean, the P&L works, so to say. I mean it will help the breakeven with the growth of volume. So we've been very focused on getting the business back to growth, and it's encouraging to see that now in Q4. Then on the Gaming side, I mean, you're absolutely correct. I mean the key category for us in Gaming are headsets. And here, we're really the leader for premium headsets in Gaming. And we are also large in headsets overall. So that is the largest category for Gaming. And then keyboards has been another category where we've really been building up a good business over time and very meaningful. You highlight mike as an area where there should be a growth opportunity, and I would say I agree with that. I don't want to forgo future launches, but it was a while ago since we launched new products into the mikes area. So I think you should expect us to have something going there that can help us to capture that opportunity essentially. I very much agree with your observation that that is a growth opportunity for us.
Operator: This concludes our question-and-answer session. I would now like to turn the conference back over to the management for closing comments.
Rune Sandager: Thank you very much, operator, and thanks, everybody, on the call.